Operator: Ladies and gentlemen, thank you for standing by. At this time, all participants are in a listening only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I would now like to turn the conference over to Erik Bylin. Please go ahead, sir.
Erik Bylin: Welcome to ESS's 2022 Second Quarter Financial Results Conference Call. Joining me on the call from ESS are Eric Dresselhuys, CEO; and Amir Moftakhar, CFO. Following management's prepared remarks, we will hold a Q&A session. Earlier today, ESS released financial results for the second quarter of 2022. This earnings release is available on the Investor Relations section of the company's website. As a reminder, the information presented today will include forward-looking statements, including, without limitation, statements about our growth prospects and strategy for 2022 and beyond. The forward-looking statements that will be made on this call are based on information currently available to us as of today's date. These statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those projected or implied on this call. In particular, those described in our risk factors set forth in more detail in our most recent periodic reports filed with the SEC as well as current uncertainty and unpredictability in our business, the markets, the economy, and the current geopolitical situation. You should not rely on our forward-looking statements as predictions of future events. All forward-looking statements that we make on this call are based on assumptions and beliefs as of the date hereof. And we disclaim any obligation to update any forward-looking statements, except as required by law. During the call, we will also present certain financial information on a non-GAAP basis. Management believes that non-GAAP financial measures taken in conjunction with U.S. GAAP financial measures provide useful information for both management and investors by excluding certain items that are not indicative of our core operating results. Management uses non-GAAP measures internally to understand, manage and evaluate our business, and make operating decisions. Reconciliations between U.S. GAAP and non-GAAP results are presented within our earnings release. With that, I will turn the call over to ESS's CEO, Eric Dresselhuys.
Eric Dresselhuys: Thank you for joining us. Today I will discuss our progress with installations, customer wins and production initiatives and then hand it over to Amir to cover the financials. Q2 was another quarter of strong execution by the team and continued progress for ESS, notably declared the final milestones with our two initial energy warehouse customers and recognize revenue on these units. We work collaboratively with these customers through the process and learned a great deal about installation and deployment, it will carry into future projects. We are confident that the steps we navigated to achieve final sign-off were necessary to our growth as a company. We have built critical institutional knowledge and will contribute to our ongoing success. We also built and shipped additional units in the second quarter, including those for SDG&E and our partner TerraSol. With all six of the EWs they've ordered now on site, we are working with SDG&E to complete commissioning and to couple our batteries with onsite solar arrays to power The Cameron Corners micro-grid to mitigate the effects of Public Safety Power Shutoffs, or PSPS, a tool of last resort to reduce wildfire risks during extreme fire weather conditions. We continue to see micro-grids as being an integral part of the solution to California's climate and wildfire challenges because they can operate independently of the grid at large and provide continuous power during PSPS and other emergencies. Our delivery to our partner TerraSol is deployed next to Sycamore International, a technology recycling firm in Pennsylvania, where it will complement a solar installation to provide business continuity and energy cost savings. In fact, TerraSol has contracted for a second unit, so that Sycamore can participate in the local frequency regulation market. And we certainly have some promising news from Washington recently. We are delighted that over the weekend, the Senate found a path forward with the passage of the Inflation Reduction Act or IRA, a groundbreaking piece of legislation that can provide meaningful incentives across a range of technologies and applications to accelerate decarbonisation in the U.S. energy system. For Energy Storage in ESS, there are a number of important provisions including an extension of the renewable energy ITC, which includes storage when coupled with wind and solar. The creation of an ITC for standalone Energy Storage projects and Advanced Manufacturing credit for domestically manufactured energy storage technology. And finally, a number of really smart provisions like direct pay and tax credit transferability, which will ensure more money goes to doing the job and will allow everyone to move faster. In most cases, the incentives available increased meaningfully when the manufacturer meets certain domestic content and workforce requirements, all of which are currently met by ESS. This would leave us extremely well positioned to be a vendor of choice for those implementing energy storage. We remain optimistic that this important legislation will proceed through the house and be enacted quickly. While our business plan does not rely on these provisions, we believe there is an opportunity for it to provide meaningful financial tailwinds to our plans. We continue to monitor the Bill's progress and hope to share more on its potential benefit to ESS should it pass. And just two days ago, we were delighted to host the Secretary of Energy, Jennifer Granholm, along with Oregon Senators Ron Wyden and Jeff Merkley and Oregon Governor Kate Brown for a tour of our advanced manufacturing facilities. As a tireless advocate of the energy transition, Secretary Granholm has been a staunch supporter of the drive to a carbon neutral economy by 2050, while creating American jobs. Given the passage of the Inflation Reduction Act in the Senate, we were particularly excited to be the first stop for the Secretary, the Governor and the Senators. But we think that makes sense. ESS embodies everything that the IRA is intended to support, domestic manufacturing of the key technologies required to address climate change. On the customer front, we are excited to share details of two new important relationships. We are proud to announce a landmark partnership with Energy Storage Industries Asia-Pacific or ESI, where we will initially sell ESI energy warehouses and in the next two years put in place the infrastructure to sell, assemble and service EWs and DCs. As currently planned, this agreement would result in ESS delivering over a gigawatt hour of Energy Storage to ESI in the next five years. ESI has already placed multiple orders for more than 70 Energy warehouses, and we began shipping them EWs last month. In the coming quarters, ESI will ramp facilities in Queensland, Australia, that will take key components that ESS will ship from our Oregon factory like energy modules and proton pumps and assemble them with the balance of plant. ESI conducted an exhaustive evaluation of technologies to address the need for long duration energy storage in Australia, and we are thrilled to be working with them as partners. This agreement provides further validation of ESS's technology and the global market opportunity in front of us. And we believe this relationship will be foundational to driving scale in our U.S. manufacturing facility, as well as creating a sales and support foothold in an extremely important market. I'm also thrilled to announce that we've signed a contract to deliver an energy center to the Tampa Electric Company or TECO. This installation will support TECO's Big Bend Solar Project, which powers 3,300 homes. Expected to ship early next year, the energy center will deliver 10 hours of energy storage and will be used for solar peak shifting, and fossil fuel displacement. We're thrilled to be working with this forward thinking utility in an important market. And we see this as great progress towards our goal of supporting a decarbonized grid. On the operational front, we continue to implement our design for manufacturability initiatives and are confident that numerous improvements queued up for the remainder of this year will continue to drive reductions in unit economics. However, as we work to improve our supply base, we continue to battle various supply issues with components that make up our EWs. As we have ramped new vendors, we have seen their delivery times push out due to their own supply challenges. This has already slowed our production schedule. And while we still see a path to our original plan of shipping 40 to 50 energy warehouses this year, we would likely be near the low end of the range and possibly below it depending on our ability to resolve these supply chain issues. With that said, the expansion of our manufacturing capacity remains on track. And regardless of the number of EWs we ship in 2022, we expect our production exit velocity to remain the same as we crossed into 2023. We received our second semi-automated line in the second quarter and I am pleased to share that we have it up and running. This line doubles our annual production capability to 500 megawatt hours. We have already begun to receive our next fully automated line and expect to have it up and running in the fourth quarter, which will bring our annual capacity to 750 megawatt hours, triple where we started the year. The development of our customer success team has progressed well. As mentioned last quarter, we brought on a leader for this team and I am thrilled with the energy and focus he has brought to the effort. This team will bring a wide gamut of disciplines to maximizing our success with customers from early engagement and site preparation to on site installation and grid connection, final testing, commissioning and support. Importantly, as ESS broadens its customer base, this team will drive the expand activities in our land and expand strategy. The team is not only working with existing customers who have received their units, but also customers we've contracted to ship EWs to and even customers we're exploring agreements with. In working on our initial energy center installation with Portland General Electric later this year, the team will build the blueprint to ensure future energy center deployments go smoothly. At the highest level, this team will create the recipe for success and repeatability across our products that will be critical to ensuring customers realize the value of our solutions quickly and seamlessly. And I'm thrilled with the progress they've made in a short time. We're pleased to see market dynamics continue to move in our favor, and the team at ESS is working hard to execute on our operational objectives. While supply externalities may impact our progress near-term, we're confident in the trajectory of our business, and how we are perfectly suited to solve the grid scale energy storage challenges in front of us. And with that, I'll pass it on to Amir to discuss the financials.
Amir Moftakhar: Thank you, Eric. Now I'll review our results. Unless otherwise noted, all numbers we talk about today will be on a non-GAAP basis. You'll find the reconciliation of GAAP to the non-GAAP financial measures in our earnings release, which is posted on our Investor Relations website. As Eric shared, we continue to make strong operational progress across the business and with customers. In previous calls, we shared with you that we've taken a deliberate approach to revenue recognition, working to balance legacy customer contracts, initial field experience deploying our S200 battery modules and ramping up our customer success organization. We're very happy to report that we've met all of the revenue recognition criteria for our first three energy warehouse units, and recognized revenue of $686,000 in Q2. Additionally, we have made significant progress aligning new and existing customer contracts, internal manufacturing, testing and shipping processes and customer success initiatives to begin the process of optimizing a revenue recognition process moving forward. We expect to continue to make progress on this front in the coming quarters. As a reminder, we remained under development accounting rules for Q2, so the material overhead and labor costs we incurred in producing the products we shipped fall into OpEx resulting in zero cost of goods sold. Our non-GAAP operating expenses for Q2 were in line with our expectations at $21.9 million. With that, we reported Q2 adjusted EBITDA of negative $21 million. We ended the second quarter with $192.2 million in cash, cash equivalents and short-term investments. In the second quarter, cash used by operations was $15.2 million. Our current cost reduction efforts remained largely on track, and we still expect to take 80% of the labor out of manufacturing and EW by the end of the year. We have brought up our second semi automated line and remain on track for the fully automated line to be operational in Q4, which in total will bring our production capacity to 750 megawatt hours. With this additional capacity combined with many of the process improvements I mentioned previously, the team is now working with a next wave of customers to receive EWs to help ensure smooth site prep and bring up processes for our product deliveries. Given our current plan, and their assumption that will remain under development counting for the rest of the year, we continue to expect our non-GAAP operating expenses to come in at about a $100 million. As we execute our plan this year. We currently have ample liquidity to run the business and expect to end the year with cash, cash equivalents and short term investments in excess of $120 million. And with that, we can open up the line for questions.
Operator: [Operator Instructions]. Your first question comes from a line of Colin Rusch. Colin, your line is now open.
Colin Rusch: Congratulations on all the progress. So with this ESI relationship, can we just talk about the financial implications? So you're outright selling a number of systems later this year, but primarily next year, and then you're working with them on, manufacturing facilities in my understanding that right?
Eric Dresselhuys: Thanks. Yes, Eric here, Colin, I'll take that. You're exactly right. So for in the near term through the balance of this year, and through next year, the relationship is largely about us building fully completed products, here in Oregon and shipping them to Australia. The facility has been built in Queensland, Australia today soon, they've broken ground, they had a ceremony on it. And as that gets up and running, the idea will be -- we'll ship power modules, proton pumps, all of the core IoT, and they will assemble what we think of as the balance of plants. So the tanks and the pumps, the containers in Australia.
Colin Rusch: And the unit economics for you guys is -- are those just sales a compound sit down with a licensing revenue on top of that? Or is there something more substantial and this from an investment perspective from you guys?
Eric Dresselhuys: Nowadays it's a super straightforward agreement, if we sell them, those components at an agreed to price, they license the IP on top of it. They expend the capital to build their facility out and take on the delivery in the local service work.
Colin Rusch: Okay, excellent. That's exactly what I needed. Appreciate that. And so then, in terms of the rest of the sales pipeline, it's great to see some conversion here in the ability to recommend some revenue. Can you talk a little bit about the breadth and depth of the customer pipeline at this point, and how that's evolved over the last quarter?
Eric Dresselhuys: Sure. So the pipeline continues to grow. The top-line pipeline is just a little under $9 billion in total at this point, and it's -- we're largely focused on the U.S., Australia, New Zealand, and Europe as our core markets. Although as you know, there are some deals that are coming up in other parts of the world as well. I would say that, it's -- we think it's going to change even more or accelerate. Now that IRA has been passed. We think that the push from the domestic market will increase even more because of these tax incentives that have been put forth.
Colin Rusch: Great. I've got a handful more questions on the demand side, but I'll take those offline. Thanks so much, guys.
Operator: Your next question comes from the line of one [indiscernible]. Your line is now open.
Unidentified Analyst: Hey, guys, thank you for taking the time in my question. The first one would be on the supply changes that you have been experiencing? Can you just like give a little bit more detail and what exactly you can do or through the -- through your supplier, what can be done to improve it?
Eric Dresselhuys: Sure. I'll take a shot and Amir your consignment afterwards. I don't think there's any silver bullet here. It's really just coming down to planning. And, frankly, not trying to work on too much of ingested in time basis. So we're trying to place in orders and make sure that we have alternative sources of supply for all of the critical components as we start to ramp up our volume. As you appreciate, our volumes have been relatively slow, small historically. And so we're trying to get ahead of that going forward with additional sources of supply and more confirmed pipelines with our suppliers to take out the risk going forward.
Unidentified Analyst: Thank you and just another one on pricing. I mean, obviously there is some inflation cost increases where from the supply? Are you able to increase your price on the center and the warehouse and to pass it through? And if yes, like, which kind of feedback have you ever gotten?
Eric Dresselhuys: Sure. So it's yes, there has been a little bit of ability to exert some pricing power in the market, both in part because of inflation in the broad sense, but also the limitations and the very specific inflationary pressures that have come to lithium have changed the market dynamics for storage. So it isn't too dramatic at this point. But it's noticeable. We expect that there is some potential in the very near term, that as the investment, the --excuse me, the Inflation Reduction Act comes into play in 2023 that could continue regardless of inflation specifically, simply because of the demand that we think will be put into the market.
Unidentified Analyst: All right. Thank you. That's it for me.
Operator: Your next question comes from the line of Thomas Boyes. Your line is now open.
Thomas Boyes: Great. Thank you for taking my questions. Maybe the first one, to kind of build off me with the pipeline. Question are common as is just around kind of duration requirements that you're looking at from customers. How quickly are we moving beyond say, the traditional two to four hours? And what kind of systems are you being asked to look at the longer-term?
Eric Dresselhuys: Yes, great question. So I would say, increasingly, we are seeing specific RFPs coming out, calling for six, eight and 10 hours. We don't see too much in the 12 hour yet, although a few RFPs and specific solicitations have come in the 12-hour range. I would say that the vast majority of what we're seeing now is coming in the eight to 10 hour range. But it is interesting that we are now starting to see RFPs -- formal RFP process has come out, looking for that longer duration. Whereas a year or more ago, you wouldn't have seen that the people who were interested in long duration would have probably been more in direct, bilateral conversations with the vendor about a specific project or target.
Thomas Boyes: Got it. And I appreciate the color there. And then maybe could just give us a sense, what you're seeing kind of on the interconnection side of the equation. Certainly, that's been an issue for solar wind and everyone. Just kind of wondering what your view was about current landscape?
Eric Dresselhuys: We've been fortunate to this point. We haven't had too many interconnection issues, based on the projects we've done, to date and to have queued up over the next few months. But we're certainly very sensitive to the issue. And as the projects get larger in scale, that interconnect queue challenge will come up more and more. The lucky for us. Good news for us is many of the times the customers that we're dealing with, have been in that process for some time. And in most cases, in many cases, those interconnect queues have already been cleared, and they already have clearance to go.
Thomas Boyes: Got it. And then I could sneak one more and then I'll hop back in the queue. It's just -- maybe I might have missed it. But on those supply chain shortages, is this for semiconductor equipment was [indiscernible] frame what the specific items were that that were in delay?
Eric Dresselhuys: Yes, fair question. And I wish that there was a single thing we can point to that we say that's the issue. But it's really been kind of a low grade or what we say around the supply chain team whack a mole, it depends on week to week, different components will be delayed. None of this is long-term concern to us, it's really more related to ramp up. But as an example, we have had PCBs and other electronics components that rely on chips. And the chip supply constraints to our suppliers have caused the delay of the delivery does. So that certainly is sapping the number of times.
Thomas Boyes: Got it. And that's helpful. I'll hop back in the queue. Thanks.
Eric Dresselhuys: Thank you.
Operator: [Operator Instructions]. Your next question comes from line of one Joseph Osha. Your line is open.
Joseph Osha: Hi guys, congratulations on the results. A couple of questions. First, you've talked a lot about the revenue recognition issues that came up on those first few units and talked about some of the learnings from that in terms of the contracts that you're writing. Now, I'm wondering, are you feeling comfortable that revenue recognition on the unit that you're talking about shipping now is going to go a little more smoothly?
Amir Moftakhar: Yes, hey, Joe, it's Amir. I happy to take that question. We do feel like it's going to go more smoothly. There are a handful of legacy contracts with some key strategic customers that we have remaining, that that may follow the more purposeful route that we described before. But certainly, we have revamped not only our internal process, but the contracting process and some of the existing contracts that we have out there. So like I said on the call, I do anticipate over the next couple of quarters here that that that process will get much more efficient.
Joseph Osha: And just to put a finer point on that. Let's imagine it's the first quarter of next year, do you imagine we would be able to expect that revenue gets booked in the same quarter a product gets on site, just kind of as a general goal?
Amir Moftakhar: Yes, I'd be hesitant to put an exact date on it. But that is certainly what we're what we're looking for in terms of aligning the customer contracts and the shipment to be able to do that in a much tighter period of time, including the same quarter. So that's certainly what we're working towards.
Joseph Osha: Okay. Next question, Eric, this might be more for you. I know, there's been a number of cost down initiatives. But yes, there were a couple of really interesting ones, you're trying to get precious metal out of the catalysts and the proton pump, for example. I'm wondering if you can update us on some of the cost reduction initiatives and how they're going?
Eric Dresselhuys: Yes, we're making progress. We feel like we're on track. Part of that is related to some of the supply chain issues, by the way, we're moving. We've redesigned some components to take out cost. And that runs the gamut from rebalancing systems to tanks and beyond. So every time you change to a new supplier, you're adding a small amount of risk into that conversion. And so we're working through those. The biggest cost reductions we've had for this year, and this was always the plan is on the labor side, and we're making great progress against that. And the good news is, it's not only more efficient, but we build faster with less labor. So of course, it helps put our increase our velocity.
Joseph Osha: That always helps. Just one or two more quick wins. Can we expect perhaps that you'll be out of development accounting next year? Would that be a reasonable expectation?
Eric Dresselhuys: Yeah, I think that's probably a reasonable expectation. I mean, certainly, when you start shipping more units, and recognizing revenue, I think it'd be a logical next step to pull out of development accounting, and the first of the year is always a logical time to do that. So I think that's a fair expectation.
Joseph Osha: Okay, and then the last one, just looking at you've got 750 megawatt hours coming out at the end of this year, lots of learning lots of things to digest. Could we maybe expect that that cadence of expansion, moderate, a little next year? Or you get things sorted out or is this going to continue to sort of double and redouble over the course of 2023?
Eric Dresselhuys: We ever made any announcements on that at this point, Joe, it's a very dynamic market environment right now. With the IRA bill coming in, we're going to be very keen to see how the market demand starts to shift. And we certainly feel like we've got a mark kind of a time to market advantage versus others. So we want to make sure we fully exploit our opportunity there. But do it in a very measured and rational way.
Joseph Osha: Okay, that was my backdoor way of trying to get a 2000…
Eric Dresselhuys: No worries.
Joseph Osha: Thanks very much. I'll jump back in queue.
Eric Dresselhuys: Thank you, Joe.
Operator: There are no further questions at this time. I will now pass the call over to the presenters.
Eric Dresselhuys: We want to thank everybody for joining us on our Q2 call and for your support of our business. And we'll look forward to talking to you again next quarter.
Operator: That concludes today's conference call. You may now disconnect.